Operator: Good morning, ladies and gentlemen, and welcome to the Delta Air Lines' Second Quarter 2007, Financial Results Conference Call. My name is Rob and I will be your coordinator. At this time all participants are in a listen only mode. We will conduct a question-and-answer session following the presentation. (Operator Instructions). I would now like to turn the call over to Neil Russell, the Director of Investor Relations for Delta Air Lines.
Neil Russell: Thank you Rob, and good morning everyone. Thank you for joining us to discuss Delta's second quarter, 2007 financial results. Speaking on today's call are Jerry Grinstein, Chief Executive Officer; Ed Bastian, Chief Financial Officer; and Jim Whitehurst, Chief Operating Officer. Also joining us for Q&A are Glen Hauenstein, Executive Vice President of Network and Revenue Management; and Mike Campbell, Executive Vice President of Human Resources and Labor Relations. Before we begin, please note this call is being transmitted live via the internet and is being recorded. If you decide to ask a question, it will be included in our both live transmission, as well as any future use of this recording. Any recording or other use or transmission of the text or audio for today's call is not allowed without the express written permission of Delta Air Lines. Today's discussion contains forward-looking statements that represent our beliefs or expectations about future events. All forward-looking statements involve risks and uncertainties that could cause the actual results to differ in a material manner from the forward-looking statements. Some of these factors that may cause such differences are described in Delta's SEC filings. We will also discuss certain non-GAAP financial measures. You can find the reconciliation of those non-GAAP financial measures on our investor relations website at delta.com. Before we begin, I would like to ask that when we get to the Q&A portion of the call, we limit each participant to one question plus one follow-up. And with that, I would now like to turn the call over to our Chief Executive Officer, Jerry Grinstein.
Jerry Grinstein: Thank you, Neil. Good morning and thanks to all on line for joining us today. At the time of our last call in mid April, Delta was preparing to emerge from bankruptcy. The three months since are notable for important developments for our employees, our customers, and our investors. On the morning of April 30th, Delta emerged from bankruptcy. We used that opportunity to unveil a new look and feel for our brand consistent with the direction the airline is now headed. Then on May 3rd, Delta returned to the New York Stock Exchange with its historic ticker symbol DAL, coming full circle to the place where Delta first listed its stock 50 years ago. The 20 months spent in bankruptcy protection was by no means a source of pleasure. It did, though, harden the commitment of Delta people to become again a leader in this intensely competitive industry. We have not only transformed all aspects of our company financials, operations, product and corporate leadership. We have also developed a focus, a discipline, and a vision; that positions Delta well for the intense competition typical of this industry and the inevitable business cycles that require leanness and discipline. On the financial side, this morning we announced a $1.9 billion pre-tax profit for the quarter. This includes a one time gain of $1.5 billion associated with our emergence from bankruptcy. Excluding reorganization and related items, Delta's pre-tax income was $373 million, nearly a $200 million improvement over the same period last year. This performance was driven by the restructuring efforts, with both revenue improvements and cost reductions contributing to the increase in pre-tax income. Ed and Jim will provide additional details on that later in the call. With respect to our operation, our people are continuing to deliver a safe, clean and on time operation. In fact, for nine weeks this quarter, and 26 of the past 34 weeks, Delta led the network carriers in on time performance. Passengers are recognizing the difference as well. For the second consecutive year Delta earned a ranking in the top two among network carriers in the JD Power Customer Satisfaction Survey. The improvements in Delta's financial, operational and customer service performance are due in no small part to the dedication and determination of the Delta people, who maintain their focus on delivering superior customer service, because of their efforts to transform and save this fine company. We are pleased to announce that we accrued $79 million under the Delta profit sharing program this quarter. Results in this quarter of expected top tier financial performance and exceptional customer and operational metrics, are proof that the plan is working. We are focused on the future, with continued cost discipline and realizing our revenue potential, which will unlock the value of Delta for our shareholders, which includes our employees. And speaking of the future, I would like to spend a few movements on that topic as it relates to my successor. Given the magnitude of this decision, our new board of directors is taking a deliberate and disciplined approach in the selection process, with a decision likely by the end of the summer. It's important to remember that we have seven brand new Board members, who’re learning the industry at Delta. When the Board is ready and our successor chosen, it will be my time to retire, having had tremendous honor to serve along side the Delta people over the past four years. I want to give special praise today to our finance, accounting, and investor relations people. Moving out of chapter eleven with a fresh start in accounting, is a complicated and frequently confusing time for analysts and investors, but our people have brought clarity and transparency; and they have done it with great speed, as you can see by Delta's early report today. And now I’m going to turn the call over to Ed Bastian, our Chief Financial Officer, to discuss the quarter’s financial performance
Ed Bastian: Thanks Jerry. Good morning every one, and thank you for joining us today. Before I review our second quarter performance, I need to provide a few details on the presentation of our numbers. With our emergence from bankruptcy in April 30, we implemented fresh start accounting. As a result we are a new reporting entity from that date. Therefore, our results for the quarter are split into the predecessor company results for the month of April and the successor company results for May and June. To allow for comparison of our ongoing performance, however; we are presenting combined financial results of the predecessor and successor companies for the Second quarter 2007. It is these combined results that we’ll discuss throughout the call. As Jerry mentioned, this morning Delta reported a per-tax profit of $1.9 billion for the quarter, which includes a one time gain of $1.5 billion due to our emergence from bankruptcy. Excluding reorganization and related items, Delta's pre-tax income was $373 million, a $194 million improvement over the last year. Our net income was $274 million using the 394 million fully diluted shares post emergence that net income equates to $0.70 per share. This compares to first quarter consensus for Delta at $0.59 per share. Jim and I will go into more detail but it's important to note that these positive changes come from both revenue improvements and cost reductions. As expected, the momentum of our restructuring continues. Now, for the details. The $194 million improvement in pre-tax income was driven by four major factors, not including fresh start accounting, which I will summarize separately at the end. First, our network and revenue improvements contributed $150 million, made up of $220 million in revenue enhancements offset by $70 million from the cost of international and regional capacity growth. This was a result of a 5% unit revenue improvement on one point higher capacity. In a few minutes, Jim will go into more detail on our revenue performance. The second source of improvement was from net cost reductions of $75 million. This represents the year-over-year benefit of restructuring initiatives, offset by certain targeted investments back into our back. Restructuring benefits included: savings from fleet airport and contract re-negotiations; reduced employee benefit costs, resulting from the termination of our prior pension plan; and lower non-operating costs driven by both higher interest income on our improved cash position and lower interest costs form reduced interest rates. These savings were partially offset by investments in our operations, due to the increased demands from our very busy summer. Particularly, head-count increases at JFK, higher irregular operation costs, and improvements we’re making to our baggage systems. We also incurred costs attached to our re-branding effort and in the quarter, also had a $16 million asset impairment charge on our retired flight simulators. A deferred source of improvement in the quarter was fuel price, which was $2.05 per gallon, $0.09 lower than last year. This reduced our fuel cost by $60 million year-over-year. Note, however, that this excludes a $0.04 negative impact from fresh start accounting. We will lose the accounting benefit of gains on our hedges post emergence, as a result our oil and fuel price for the quarter was $2.09. And fourth, offsetting these revenue and cost improvements, was profit sharing expenses of $79 million, as Jerry mentioned. Delta’s profit sharing plan pays 15% from the first dollar to its employees, excluding its senior management. Also included in our results for the quarter are two non-cash emergence related items. First, fresh start accounting changes drove a $13 million increase in pretax income. This $13 million consisted, of first, a $42 million increase in operating revenue from the change in accounting for the frequent flyer program. This was partially offset by a $36 million increase in operating expenses from the elimination of the fuel hedges and also increased amortization on intangible assets. And in addition, we had a $7 million decrease in interest expense due to the revaluation of our debt obligations. In addition to those fresh start accounting changes, we also recorded $26 million in share-based compensation expense related to management equity emergence awards. In both of these changes there were fresh start accounting of positive $13 million and the negative $26 million, driven by the share-based compensation expense, resulted in a negative impact on profits of $13 million. These emergence related changes increased consolidated passenger RASM by $0.11 and also increased mainline CASM by $0.12, or roughly a 4 percentage point increase. Note that these amounts will grow somewhat in subsequent quarters, as our June quarter only had two months of fresh start and management equity compensation reflected this. During the quarter we booked $99 million in tax expenses, but due to our significant NOL carry forwards, this is strictly a non-cash expense; for this reason we are focusing our discussion on pre-tax income. As a result of our cost reductions and lower fuel prices, main line CASM decreased by one point year-over-year, excluding fuel, profit sharing expense, and the negative impact of the fresh-start accounting - main line CASM decreased 2 points to $6.81. In the current fuel price environment it is more important than ever for us to remain vigilant about our hard one cost structure. We will not let our exit from bankruptcy divert us from this focus; we remain committed to our plan of continuing to drive down our mainline, non-fuel unit cost. EBITDA for the quarter was $843 million, reflecting an EBITDA margin of 17%. This is $72 million higher than it was last year. Turning to our balance sheet liquidity position, we ended June with $3.4 billion in unrestricted cash driven by a very strong free cash flow in the quarter of $1.1 billion. Key components include: first cash flow from our core operations produced $900 million; second, approximately $800 million came from reductions in restricted cash including the return of the holdback associated with our Visa/Mastercard processing agreement. Cash uses for the quarter included $400 million in emergence related outflows, which included cash paid to our employees upon exit from bankruptcy, and to fund the tax withholdings under equity distributions. In addition, we’ve put a $173 million back into our business through capital expenditures, including $119 million for aircraft parts and mods. These four components all resulted in a free cash flow of $1.1 billion for the quarter. As relates to data activity, we closed on a $2.5 billion exit-financing facility, consisting of $1.5 billion in term loans, and a $1 billion revolver. We’ve used the $1.5 billion term loan proceeds to replace our $2 billion debt loan, thus paying down $500 million of the debt through cash. This was the primary driver of our $594 million in net debt maturity payments in the quarter. Wrapping all that together, our ending liquidity balance grew by $700 million from the start of the year, not counting the $1 billion revolver we now have available to us. Looking ahead to third quarter guidance and noting that all these projections include the impact of fresh-start accounting and management equity incentives, we expect our operating margin including profit-sharing cost to be in the range of 6% to 8%; our mainline non-fuel CASM, excluding profit sharing to be down 1 to 2 points year-over-year; and our fuel cost per gallon to be approximately $2.28 all-in, including the impact of fuel hedging and the negative impact of fresh-start accounting. Regarding fuel hedges for the third quarter, we have hedged 21% of our anticipated consumption utilizing work hours, with an average capital $1.80 per gallon. We currently have no fuel hedges in place beyond the third quarter. With respect to CapEx for 2007, we now expect our total CapEx for the year to be $1.2 billion, which is higher than the $823 million previously estimated. The major driver of this change is aircraft spending, including deposits on a new Mainline 777 aircraft. It also includes the acquisition of 25 CRJ100s, which we currently own on lease. By purchasing these aircrafts as compared to leasing, we will reduce the total cost of ownership on the aircraft. And finally, the purchase of 14 CRJ-900 for Comair flying. As we previously announced, these aircrafts will swap out 14 CRJ-100s in Comair, which will exit the fleet beginning in September. As a result of these changes for the third quarter, we expect CapEx to be approximately $450 million, of which $300 million will be in cash. For the full year 2007, we expect EBITDA to be $2.8 billion and free cash flow to be approximately $1.6 billion. These 2007 estimates are in line with our previously established business plan targets. Also for 2007, we expect our main line non-fuel CASM for the full year, excluding profit sharing, to be down 4% to 5%. This is lower than the planned 7% reduction due first, to two points of impact - the fresh start impact and one point from targeted investments back into our business. Turning to our stock performance, since emerging from bankruptcy the stock has performed about as we expected with some technical pressure from creditors who are non- traditional holders selling their shares. We also understand the pressure on the stock price that comes from having one-third of our stock withheld for disputed claims. To that end, we have settled the number of aircraft claims and continue to work towards settlement with other claim holders. We expect to make a distribution of roughly 20% of what has been withheld, at or around the end of this month. In summary, we are pleased with the results announced today, but even more exciting to us -- even more exciting to us is the pipeline of opportunity that we've built over the last few years. The momentum of our restructuring will continue to drive margin improvement for several years to come. And now, I would like to turn the call over to our Chief Operating Officer, Jim Whitehurst, to give more details on our revenue in operational performance.
Jim Whitehurst: Thanks Eddy, and good morning. As you know over the last two years, Delta has undertaken dramatic rebalancing of our network, shifting wide bodies out of the domestic arena and into international. This strategy continues this quarter and we remained committed to maintaining the momentum. As a result domestic capacity was down 5% year-over-year. We are continuing to focus the network on increasing connectivity and improving our fleet to our international system. International capacity was up 15%, as we continue to capitalize on our first [mover] advantage in new markets in Africa, Asia and Europe. On the fleet and network side, in the quarter we completed the transition of the eight 767-400 aircraft from domestic to international service. There are 13 remaining 767-400 in the domestic system that we plan to move to international service in the next two years. Also during the quarter, we confirmed an order for an additional Boeing 777-200 LR, which will be dedicated to our Asian expansion. On Monday, Delta filed applications to serve Atlanta to both the Shanghai and Beijing by 2009. These two routes will fill critical voids in the air travel market linking 65 million people of the southern United States to the world’s fastest growing economy in China. Despite serving more worldwide destinations than any other carrier, Delta is the largest US International airline without non stop service to China. We believe we have the strongest route case for the new China services and the world, which certainly makes Delta a more formidable international competitor. Also as a result of the open sky's agreement, we intend to start service to Heathrow in March. We are currently in negotiations for Heathrow flaps and should have an announcement on that soon. On Monday, we took delivery of the first of 13 extended range 757s, which will go in that service this September, the first flying from JFK to Shannon .The others will operate on our domestic system until next summer and then we will have them reconfigured for international service. And finally this quarter we announced an order for 14 CRJ900 aircrafts to replace 14-50 seaters currently at Comair. These aircrafts will be flown in a 2 class /70/60 configuration, which will provide a more consistent enjoyable experience for our passengers across the government system. Now, turning to this quarter's revenue performance - Our June 2007, quarter revenue results were on plan and were driven by higher yields and record load factors. Our passenger revenues for June 2007 were up 6%, on a capacity increase of 1%, driven by its strength across all entities. These numbers include the revenue increase from first historic accounting. Excluding that impact, Delta's passenger RASM increased 5%, in line with our plan and still are facing the industry average. In the domestic System, passengers RASM increased 6%, driven primarily by increased load factor, and strong demand continues to drive record load factors going forward. On the international side, passengers RASM increased 10%. The yields increased significantly as expected, as many of last year's new markets continued to mature. As we said, one of the core instances of our business plan is to close the rise and gap to our peers, and we are making real progress in this area. Consolidated length of haul adjusted passenger RASM, year-to-date through May, came in at 96% of the ATA reporting carriers' average. We expect June results in the next few days and we expect that to show us a similar trend. For the month of May, itself on a length of haul adjusted basis, Delta's consolidated system results were at 98% of industry average, Delta's best performance relative to its competition since 2002. Also in May, Consolidated Domestic Passenger RASM exceeded 100% of the industry for the first time since regional carriers were included in the ATA reporting. Again, this is all length of haul adjusted. As a reminder, our business plan target was to reach 96% of industry average for 2007 and to be at industry parity by the end of 2008. Clearly these results show that we are on track to meet those goals. Turning to our operational performance for the quarters. Our employees continue to deliver a safe, clean, on time operation in every month this year through May. Delta placed first among network carriers in DOT on time performance rankings. Data for June indicates that in spite of significant weather and air traffic control challenges, we will maintain a very strong ranking. For that I would like to sincerely thank my Delta co-workers for their outstanding efforts during this busy summer season. For the year, we’ve also added baggage performance and regional carrier operating performance to our focus list. While neither of these is currently performing to where we want them to be, we are clearly making progress and our on-track to meet our goals this year. While there are occasional operational disruptions throughout the system, New York is a particular concern. We are working very closely with the Port Authority and FAA to help redesign New York’s aerospace in an effort to relief congestion and extensive delays caused by an outdated air traffic control system that cannot respond to growing customer demand. It's no secret that the 1950 [aero system] has reached full capacity and the controllers are working with an antiquated tools. It’s time for the FAA to move swiftly to increase capacity where it can, and it’s time for Congress to overhaul the ATC system and its funding mechanism. Without both of these long over due actions, air traffic delays and cancellation in this busy aerospace will not improve. But in the absence of modernization, we are doing all we can to minimize the impact on our customers in our operation. Now looking at capacity going forward. In the third quarter we expect system capacity to be up approximately 1% to 3%; consolidated domestic to be down 1% to 3%; and consolidated international to be up 13% to 15%. For the full year 2007, we expect system capacity to be up 2% to 4%, consolidated domestic to be down 2% to 4%, and consolidated international to be up 16% to 18%. These changes are consistent with our transformation plan, as we continue to reduce domestic capacity by moving wide body aircraft to international markets and using two class 50 seat regional jets to replace one class 50 seaters. Looking at advance bookings, at a system level, advance bookings are solid for late summer and early fall, with August, September and October all booked higher on a year-over-year basis. Domestic advance bookings are strong and capacity reductions continue to drive additional loads. On the international side, advance bookings are ahead of last year for August and October and flat for last year for September. We are seeing particularly strong demand in Latin America. In summary, overall we expect the remaining summer traffic to be strong and load factors to be higher than last year. To conclude, echoing Ed's comments earlier on the call; we are certainly pleased with this quarter's results. We continue to close the rise in gap and at the same time improve our customer service and run a solid operation. But if we learned anything over the past two years it is that we must always try to be better, so as good as today's results are, we know there's an even brighter future possible for us. On the network side we'll continue our international expansion and push for the high profile additions of Heathrow and China. In our operation we continue to focus on stay clean and on-time, but include improvements in our baggage and regional carrier operations. And on the customer side, we are making targeted investments on those things our customers' value and will pay for. Like in-flight entertainment and lie-flat seats, and because of this, I think you can see why we are optimistic about the future. So on behalf of Jerry, Ed and the entire Delta team, we'd like to thank our co-workers for their hard work and dedication and determination that have gotten us to where we are. And we'd like to thank our customers; we truly appreciate your loyalty in our business. That ends our prepared remarks and at this time we are happy to take questions.
Operator: Thank you, sir. (Operator Instructions). Sir I have your first question today coming to you from Mr. Robert Barry.
Robert Barry - Goldman Sachs: Hi guys. Good morning.
Jerry Grinstein: Good morning.
Ed Bastian: Good morning.
Robert Barry - Goldman Sachs: I guess I had a question about the domestic PRASM performance. I was curious what the puts and takes were there, because it looks like the performance is good and you are certainly outperforming some of the peers. But you are also taking out a lot of ASMs and RASM growth isn't that much more than what would be implied by simply taking out some of the domestic supply. So, are there other pressures you are seeing on pricing or mix that are being offset by factors like moving a lot of the planes out of the US market or other revenue initiatives?
Jim Whitehurst: Well, for starters, continue to look at our stage length, even our domestic stage length is increasing. So in total our domestic being up 6% is the top of the industry. Now [Brandon] we are relatively shrinking, but if you look, the relative amount of shrinking is decreased over time, and we've remained at the top of the industry on domestic passenger PRASM. So, I wouldn't say we are at all concerned about it or see any relative weakness there. As we go forward our relative domestic shrinking has declined and is continuing to and we still remain at the top. So I don't see any particular concerns there, but you do also need to look at stage length or length of haul.
Robert Barry - Goldman Sachs: And just a follow-up on that, how would you characterize the pricing and fare environment. I know that there have been a couple of fare hikes now that I think have for the most parts stock and at the same time there is always a lot of noise, because there is sales going on. And kind of net-net, I mean do you think you have gotten any pricing year-to-date or have sales and retrenching on price hikes kind of offset the couple of public price hikes that we've seen?
Jim Whitehurst: Well, let me start of by saying that a couple of months ago there were some others talking about domestic weakness and they now those same other airlines are saying that things look reasonably strong. We've seen it relatively strong all the way through. We continue to see reasonably strong environments, obviously the higher load factors and as we said higher advanced booking gives us a bit of confidence as we go forward. Now we're certainly seeing benefits from the fare increases that we and others have put through. But as you said there is enough sale activity that even southwest fare increases it doesn't drop directly to the bottom line. That said, I think we're still seeing relative traction year-over-year in our ability to price.
Robert Barry - Goldman Sachs: Okay, thank you.
Operator: Thank you, sir. We are going to go to Mr. William Greene
William Greene - Morgan Stanley: Yeah hi, I am wondering Ed if I could get a little bit more color on the CASM guidance. At the first quarter call I think you said it would be down 5 to 7 and now we are 4 to 5. How much of that is flustered? I am trying to think about how much was comparable, what would it have been if we had kind of used that former metric, did they change it all?
Ed Bastian: Are you talking about the second quarter or full year Bill?
William Greene - Morgan Stanley: Yeah, the full year guidance.
Ed Bastian: Yeah for the full year the plan is I think with 7% reduction in non-fuel CASM. We're now saying we think the full year is going to be in the 4% to 5% range, a good two to four points of that is due to fresh start accounting. Fresh start accounting is going to have a bigger impact on the CASM guidance going forward than it did in the second quarter because they only had two months in the second quarter and one point of that reduction is driven from increased operational investments we've needed to make back in airline. A part of your answer of the earlier question and Jim’s discussion on the domestic scene, as we are seeing very, very high load factors, and there is one thing that we've seen in the plan load factor is actually even higher than what we had planned for so that clearly is driving some increased cost back into the operations. I'd say 4% to 5% including fresh start, you know all in, it is our target.
William Greene - Morgan Stanley: And so when we look kind of at the forward plan that you’d put out then, a similar kind of reduction is what we should expect for four years beyond ‘07?
Ed Bastian: Yeah I think four, yeah certainly with respect to a fresh start accounting that’s correct. You're going to see, for example in the third quarter based on the guidance's we just gave. I think we're looking at 0.23 in terms of CASM impact for the September quarter. So I think on a go-forward basis two, four points of the fresh start accounting impact is what you should expect or we're going to continue to just try to get that full economic non-fuel CASM target to where we told you it would be.
William Greene - Morgan Stanley: Okay, and then can we just talk about - why don’t you just talk a little bit more on the fare stuff. Just how much of the June performance do you think was effected by the timing of the holiday? Will we see that serve an impact in July or do you think this strength just is continuing through?
Ed Bastian: This is quite how I understand. I think what we saw was that the 4th of July being on a Wednesday really ruined that whole week for business travel. Having said that, we did significantly higher pull-downs anticipating that. So we were relatively pleased with our performance with the first week of July. And moving forward, we do see some yield strength that we didn't see in the second quarter in the Domestic arena, so we are optimistic about that as we move into the more heavily business travel seasons, targeting post Labor Day.
William Greene - Morgan Stanley: Okay thanks for your help.
Ed Bastian: Sure.
Operator: Okay, thank you. So your next question is from Mr. Gary Chase.
Gary Chase - Lehman Brothers: Good morning, everybody.
Ed Bastian: Good morning, Gary
Gary Chase - Lehman Brothers: In the event that we don't have you on the next call Jerry, let me take the opportunity to say congratulations and best wishes on retirement.
Jerry Grinstein: Thank you, Gary
Gary Chase - Lehman Brothers: And I wanted to ask Ed, you said that you are projecting at $2.8 billion EBITDA number for the year?
Ed Bastian: Yes Gary.
Gary Chase - Lehman Brothers: If I heard you right, is that inclusive of everything fresh start to profit sharing?
Ed Bastian: That's all in there.
Gary Chase - Lehman Brothers: Okay and I guess what I am really driving at is, I guess I am a little surprised at the third quarter margin guidance. I would have thought it would be closer to 2Q given the international ramp and so on and so forth. I know fuel takes a bite out of the quarter, but I thought it would still even with the fuel change be closer. And further, if I believe the 6 to 8 margin in the third quarter, the fourth quarter has to be pretty strong if I’m doing the math right in order to get all the way up to $2.8 billion for the year. So I guess I was just curious, if you could give us some color on kind of what's happening here to the seasonality because it seems a little bit, it was different anyway from what I was expecting.
Ed Bastian: Well certainly if you compare Q2 and Q3, fuel is definitely taking a much bigger bite out of the Q3 results, our fuel number for the second quarter was 2009 and our guidance for the third quarter is 228 so that's a pretty hefty bite. Left alone, I don't have a calculator in front of me, that loan’s probably going to be a couple of points exactly, in terms of the sequential change with respect to revenue change third quarter as compared to the second quarter. Glen? Jim?
Glen Hauenstein: For starters we are a little more seasonal even in the domestic arena in that schools in the Southeast we start in early August, so we start to see a little more weakness just given where we are earlier than others. Now if you look at second versus third quarter, July looks a lot like from a revenue perspective obviously leaving the fuel key sale. July looks a lot like June, and August looks a lot like May, then September is worse than April just relatively when school is back in full session, just given the makeup of our network, but generally we think the third quarter is a little lighter than the second quarter, and then you throw full fuel and that makes the bigger difference
Gary Chase - Lehman Brothers: But it also sounds like you think the fourth quarter is going to be really strong, right? Is that a fair statement?
Ed Bastian: I mean to say really it's strong and I think it's going to come in accordance with the plan that we put out there. Yeah what other- Gary in the numbers fresh start accounting also is affecting that and its going to have actually probably a bigger hit in the third quarter than the second quarter, given that we got the full quarter ramp up, so I thought we’ll probably impacting the margin a little bit there too.
Gary Chase - Lehman Brothers: Okay, and just one last one on that, in the third quarter, in the second quarter you didn’t quite have as much frequent flyer benefit as you thought you were going to have from the fresh start change, as memory serves, I was just curious about the remainder of the year. Do you still expect to hit the full-year target and how does that spread between the third and fourth just so we can kind of parse out at least some revenue perspective, what’s happening extra non-cash?
Ed Bastian: On the revenue front from the fresh start change we are looking for the third quarter, again these are forecasts of roughly $60 million benefit and in the fourth quarter of about $50 million, so $150 million for the full year.
Jerry Grinstein: Again that is all non-cash, and then regarding offsetting prices for both management compensation, as well as the higher amortization, as well as the loss on the fuel hedge benefit.
Gary Chase - Lehman Brothers: Okay, great. Congratulations to everyone again. Thanks guys.
Ed Bastian: Thank you, Gary.
Jerry Grinstein: Thank you, Gary.
Operator: Thank you, sir. Your next question is going to come from Frank Boroch. Mr. Boroch your line is open, sir.
Frank Boroch - Bear Stearns & Co.: Good morning, everyone. I was hoping maybe Glen could talk about the international regions and if you are seeing any changes on the margin from this strength we saw in the second quarter?
Glen Hauenstein: The international regions are all performing really at the high end of our expectations, would be including the new markets who have all launched with really, really strong initial results. Certainly leading the pack are some of the things that we are doing in Africa and we'll be adding to that portfolio. We have already announced that we will be serving Nigeria starting in the fall and establishing ourselves as the first mover and the leader in Africa. Also in the Middle East the Tel Aviv market has been doing incredibly well, as well as- we just added Dubai and that's also off to a great start. Our India services are continuing to be strong in the quarter. Europe, which is really relatively flat in capacity year-over-year, is up quite nicely in unit revenues. We are continuing to work on one of the issues that we have, which is the number of frequent flyers we have on the airplanes, and if you are a frequent flyer you will be happy to know that there are a lot of seats that we've had on the Trans Atlantic this summer and we'll be working to manage those a little bit better next summer or even better performance we think. So, we see a lot of upsides still in the international. There is not a single market segment that is not performing well.
Frank Boroch - Bear Stearns & Co.: How much of the strength do you think you is related to FX, and then if you have for the second quarter the yield figures excluding the FX change?
Ed Bastian: You know the FX is really an interesting thing for us; it's one of the few things where I think low dollar benefits carriers on both sides of the Atlantic. For us, though, it's not as big a benefit as you might think because we are not strong in the European distribution systems and the ex-Europe fares are heavily discounted in order to achieve round trip, selling the seats round trip throughout season. So, for us about 70% to 75% of revenues are on-shore, which means the FX is not a huge impact to us. And as we try and move with the Pound to $2.00 and you look at the fares the US carriers are getting, we think there is upside potential if the foreign exchange rates stay where they are today.
Frank Boroch - Bear Stearns & Co.: Great, thank you.
Operator: Okay. Thank you. Sir, your next question is going to come from Kevin Crissey.
Kevin Crissey - UBS: Can you talk a little bit about what's happening in Los Angeles and JFK, if you would, operationally?
Jim Whitehurst: In what operationally?
Kevin Crissey - UBS: Yes.
Jim Whitehurst: JFK, we obviously had a tough month during June, and in fact the reason Joe Kolshak is not on the call is he is with executives from other airlines in the port authority today as we have talked about ways to manage the air space there. We're clearly not achieving the published arrival and departure rate, and because of that we're having some fairly substantial delays, which have been very, very public. And so, we are working through those. We've committed to the port and others that we'll get a solution, and so we're working through what that is. Now, naturally it will be a little better in the fall because everybody pulls back a little bit in the fall plus there you get rid of the thunderstorms which bring a lot of variability in the system. The FAA has said that they will begin the implementation of new air space in the fall as well. So we are looking forward to a little bit of relief, but we need to use that time to work on a more permanent solution. So, by the time next summer comes around we won't have what's going on currently. We know it is tough for our customers; we are doing our best to work through that and will continue to do our best to serve our costumers while we get that fixed. LA, from an operational perspective, we haven't had any material issues there, so you are asking more what we're doing in terms of network.
Kevin Crissey - UBS: Well, I just want to hear if you have, I mean, I guess that’s good from that perspective?
Jim Whitehurst: Yeah, I mean LA is actually operating quite well. We have been pleased with our performance there. We are clearly working to extend our overall seats there. Delta serves more markets non-stop east of the Mississippi than any other carrier, but until a few months ago -- six months ago -- we didn't really have a lot of short-haul seats to help make those working overtime build it so we can look at as our specific gateway. So, we have started doing some of that; we've been very pleased with the results both in Mexico as well as the short-haul north/south and you will see us continuing to work on that, and again, I am very pleased with those results.
Kevin Crissey - UBS: Okay. And it was probably a bit of a tougher question as your total value of the corporation at the moment is still significantly below what has been offered by US Airways. Will it take a merger, what's going to take you from where you are today to realize additional shareholder value, is it time or what is it that you guys are going to do that's going to make the standalone plan more valuable than the US Airways bid?
Jim Whitehurst: Well Kevin, when we came out of bankruptcy the valuation was $9 to $12 billion, excuse me, that was put on the company, and if you look at where the market on the stock today is, we are in the low end of that, probably slightly under that $8.5 billion, clearly very different in via of those expected a fewer markets at the time the evaluation was done. Fuel was in the mid-fifties, today it’s in the mid-seventies. You do have the underneath premium that was priced in December the multiples not in there to the same expense. So, I think with respect to the business plan and the stand-alone strategy, we’re on target, we are not going to comment with respect to speculation on consolidation going forward, we are going to certainly do everything we can to hand shareholder value.
Kevin Crissey - UBS: Is there a criteria that is being looked at when considering a CEO that someone would come from a positive view on consolidation?
Jim Whitehurst: Kevin, we can’t speculate on what our board is still deliberating on.
Kevin Crissey - UBS: No problem, thank you.
Operator: Thanks you sir, your next question will come from Mr. [Kevin AnneBaker]. We will go to Mr. Mike Linenberg - Merrill Lynch .
Mike Linenberg - Merrill Lynch: Yes, good morning all.
Jim Whitehurst: Good morning, Mike.
Mike Linenberg - Merrill Lynch: Just two questions. And I don't know if you provided a number on the impact of congestion and delays for the quarters since it was, I think you know, I think you or Jim indicated it that was a pretty rough quarter, where do you think maybe revenue or cost wise?
Ed Bastian: Well, certainly, we didn't provide a number and it certainly did impact us on the cost front. We have dealt with it meeting the bulk of staffing at JFK; we certainly had higher interrupted trip cost, higher baggage cost and the like. It's contributing in some of the, one of the reasons why the costs are slightly below in terms of the improvements where the plan had been so. It's not a number that would be a headline grabbing number, but it's not a small number either.
Jim Whitehurst: Mike I’ll break that into two components. We have a massive cost associated with the current ATC system and the congestion associated with that. The vast maturity of that is built into our plan and has been built into our plan, so Ed’s right, and then if we look at the quarter or if we look at our baggage delivery costs, our handling costs, crew credit time etcetera, etcetera, they are up slightly as well as we got some additional staff at JFK, but if you actually look instead at what our total cost associated with the congestion of this system is on an annual basis, it's hundreds of millions of dollars. It's built into our block times and other recovery mechanisms that we have put in place. To think of ETA suggest that total numbers are a little over $5 billion for the industry and clearly we have pulled out a share of that, so it's hundreds of million of dollars bid to stake and we really need to work on getting air traffic control system to, that will allow us to free that out.
Mike Linenberg - Merrill Lynch: Agreed. My second question and this is a -- maybe a question for Glen. Given that when you look at carriers serving Columbus you have one of the bigger service patterns and with some of your service out for the West Coast, you are sort of uniquely in a position to probably watch Sky Bus maybe a little bit more closely than others, and I realized that they are a bit of a small company and Delta is a small company for the industry today, but when you look at their order book and their aspirations and of course, you guys, have a hub in Cincinnati- what's the early read? How are they pricing their product? I mean you are sure being competitive with them. You may even have people out there counting their passengers. What's the early take on it?
Glen Hauenstein: Well I will say that we are not competitive with them on their showcase fares. They are $10 in show fares, but if you look, and I think this is the problem for a low-cost carrier moving forward here- is if fuel stays at $73, $74 a barrel, you can't charge the couch fares. And so if you look at what their average fare value tickets are selling to go out and search a month out to Bellingham. You're talking about 160, 150 each way so you are talking about 320 rounds trips. So you don' t sell connecting tickets, so if you are going anywhere else you have to buy a sum of the two tickets and then you have to pay twice to have your baggage checked. And so to say we are not seeing an impact is really true, but then to say they really are to recheck their model I think, because it's not really adding that customer value, other then if you are one of those lucky five or ten people per trip who gets the $10 fares that they sell six months in advance. Now, some of those markets aren’t even generating demand to sell up and so we have seen some of them where you can actually get the $10- you know what the cost of fuel is, you know they're paying what they are paying for the airplane. Even if they are on a maintenance honeymoon, and I really question whether or not that model in its fuel environment is sustainable.
Mike Linenberg - Merrill Lynch: Okay very good thanks.
Operator: Thank you, next question from Dan McKenzie.
Dan McKenzie - Credit Suisse: Oh hi, good morning. Hey Jim really appreciate your comments on ATC. I understand from the FAA's in Atlanta actually it’s one of the first airports that was rolled out for RNP technology and I am just wondering if you could provide some prospective about to what expense that’s been rolled out to? How many of your aircraft have been equipped, is it just couple, or is it several? And a little bit about the cost savings that you have been able to extract from this new technology?
Jim Whitehurst: We actually, virtually all of our aircraft are equipped and are doing RNP. The number, I am not sure if we’ve been public with the number, but it is in the tens of millions of dollars a year, just for Atlanta with RNP. Now two things happened together so it's hard to tease it out exactly. RNP is one of the fifth runways in Atlanta. That combination allows us first off to have much higher arrival rates in good weather, but it also gives us the ability to recover well after bad weather. Historically, if we had a thunderstorm and we had a ground stop for an hour, we backed up for the rest of the day. Now because we can do three simultaneous approaches or departures we can recover quite quickly and it's one of the reasons our numbers look good. Now RNP on top of that means that we are flying more direct routes, we can do much more efficient descent patterns that are much more fuel efficient. So we are seeing substantial fuel savings as well, but again it's hard to tell how much of the more efficient approach are because there is less holding over fixes, or because of the fifth runway versus RNP. I will say RNP alone, it's definitely eight figures tens of millions types benefited, associated with it just in Atlanta. So we are thrilled and obviously working hard to make sure that we can roll it out more broadly as we go forward.
Dan McKenzie - Credit Suisse: Good, and is New York one of the next markets that's been targeted for that or can you provide some perspective if that's on the way for New York?
Jim Whitehurst: I have not seen the final plan. FA just a few days ago said that they will be rolling out an air space redesign for New York. I don't believe it is in the initial and certainly in the plans. I believe initially they are looking at increasing the number of fixes, which just will help us get more aircraft out. But again that just was announced a couple of days so I haven't seen the full phasing. As I said Joe's up today working on that and so we'll hopefully have some better clarity over the next few days.
Dan McKenzie - Credit Suisse: Okay great. And then just a follow-up question for Glen, or I will make a separate question. Just looking at Transcon capacity, it looks like starting in September it ramps up and escalates pretty quickly here. I just wondered if you can provide some perspective on what's driving that increased demand?
Glen Hauenstein: Well, Transcon had certainly been one of our strongest sectors on a year-over-year basis. The demand seems very strong, and I guess you are probably talking about the entry of Virgin into the marketplace this fall and we will see how that all works out. We are very pleased with both our share increases as well as our increase in the business traffic. For years we flew that in a [song] configuration as you know, and last year we switched it to be a two class airplane. With that two class airplane we have been able to secure a significant number of corporate contracts that are really fueling the year-over-year improvements for us in Transcon markets. And this is by for the best year Delta has ever had in the Transcon markets, and we are hopeful that those customers incorporation will continue to fly with us through the fall.
Jim Whitehurst: Another thing I think we are very pleased at is the amount of connecting traffic we are now able to flow on these segments. Filling up 186 seats on a 757 with all locals is a lot tougher than if we can get a reasonable portion of planes coming from the Buffalo, Rochester, Syracuse etcetera, etcetera as well as the international. So as we built out the connecting complex in JFK it has substantially helped the Transcon services.
Glen Hauenstein: And let me add one more piece of flexibility that's coming online this fall. Because of our commitment to have in-seat video in all of the seats in the Transcon New York markets, we have refrained from using the 737-800 in secondary markets and during off-peak time channels. And this fall starting I believe in August, as the kids go back to school, we will begin the reconfiguration project of the 38 737-800s, which will include [wind wards] and the in-flight entertainment system. And that will give us flexibility of gauge in the Transcon markets that we hadn't had previously and we think will provide a significant upside and RASM for us as we enter the leaner fall markets, particularly in the secondary markets.
Dan McKenzie - Credit Suisse: Okay, great. Thanks a lot.
Operator: Thank you. We are going to go to Ray Neidl from Calyon Securities
Ray Neidl - Calyon Securities: Your Los Angeles build up in the west coast, I can understand why you are doing that in a weak part of the country for your system. But how dependent upon that is increasing your Pacific win authority, particularly that to China?
Jim Whitehurst: At this point it's really not Ray. We did not apply for any LA-China authorities and we are pretty pleased with how its doing on its own. So the LA build-up certainly over time will give it the feed that we need to build an Asian network from LA, but even without that we are very, very pleased with the results and it's certainly accretive for us.
Ray Neidl - Calyon Securities: Okay, great. And your status of some of your regional's, what would be the status of your ownership of Comair and your major operation at JFK?
Jerry Grinstein: On Comair, Ray we've said many times that we are going to look at whether ownership is the right strategy. We have no comments, again those are speculations as to our approach down that track. At the end of the day Comair is going to be an important part of the family either in an own-capacity or potentially as a contract carrier, but I don't want you to imply that we've made any decisions by any means on that.
Ray Neidl - Calyon Securities: And they set JFK with the turboprops?
Glen Hauenstein: Those are gone this quarter. We've clearly out-stripped the demand we were expecting in a number of those feeder markets. So both in terms of getting the appropriate capacity as well as improving the experience we are going to jet operations in those. Those aircraft will be out of JFK. We also think it’s part of what we need to do to help with air space as well. So we will have an all-jet operation there in the next few weeks, maybe by next month.
Ray Neidl - Calyon Securities: Okay and as far as your future plans go for your fleets I think you have been talking about the 77, any update there?
Jim Whitehurst: No. We shouldn’t speculate on any quarters. We clearly at some point will need to replace our 767's, but we are very pleased with their performance right now and so nothing in the works right now.
Ray Neidl - Calyon Securities: Great. Thank you.
Operator: Thank you. Your next question is coming from Mr. Jamie Baker.
Jamie Baker - J.P. Morgan Securities: Hey. Good morning, everybody.
Jim Whitehurst: Good morning, Jamie.
Jamie Baker - J.P. Morgan Securities: An earlier question pointed out that your market cap right now is meaningfully below an offer you received late last year. I don’t want to beat a dead horse here, but you got certain airlines out there exploring ways to unlock value. You've got certain airlines out there considering returning cash to shareholders. You’ve got certain airlines fishing around for merger partners. I simply haven’t heard anything other than state a course as it relates to Delta making up for what appears to be significant missed opportunity earlier in the year. Is there anything else you can afford us in this regard and hopes of kind of whetting our appetite if you will?
Ed Bastian: Jamie, first of all, I'm not sure I would echo your thoughts with respect to missed opportunities and secondly as I said earlier, we are not commenting or speculating on consolidation. But you know our status now, we are in the midst of educating our new board, as Jerry mentioned 7 of the 11 members are new. As part of that education process, we are looking at our optimal capital structure with respect to cash position, leverage position, and we are building up a very strong balance sheet. We are going to continue in the short term to hopefully improve that balance sheet. We are looking at opportunities to enhance shareholder value. We are committed, that’s certainly our number one charge here. So, the silence you hear from us is not wanting to get in front of a new board making some very important decisions amongst themselves with respect to the successor, as well as with respect to the optimal structure for this airline, so don't read or not read anything into that.
Jerry Grinstein: Yeah Jamie, I would just add to that that this board is committed to reviewing any option that’s in the best interest of Delta and its shareholders.
Jamie Baker - J.P. Morgan Securities: I appreciate that Jerry, and just as a quick follow-up, I identified three possibilities and their probability count was more, but as it relates to a possible divestiture of a frequent-flyer program, returning cash or M&A activity, is any of one of those simply abhorrent that you would like to take an opportunity to throw out as a uniquely bad idea?
Jim Whitehurst: Jamie we stand by- we're just not going to get into a speculation on our future strategy. We really do want our board to get in line with the strategy going forward and we are going through an education process and the transition process, and I think it's normal and I’d ask you to respect that.
Jamie Baker - J.P. Morgan Securities: And I do all that. We have just given you an opportunity that kind of disunited, but if you don't want to take it, that’s fine. So, thanks for the answer guys. I appreciate it.
Operator: Thank you. Your next question is from Susan Donofrio
Susan Donofrio - Cathay Financial: Yeah hi guys, couple of left-over questions. One is, I did see in late June that you applied for expanded antitrust immunity. What did you attain? I am just wondering if you have any sense of timing with respect to a decision.
Jerry Grinstein: Well, they haven't set the case down yet, Susan. But I expect that it will be fairly soon and the meetings that have been held have been positive. And so I hate to put a time line on it, but I think that we all have a good sense of it well before the end of this year.
Susan Donofrio - Cathay Financial: Okay and then my other question is, you talked a little bit about congestion and its impact on the quarter. I am just wondering was there any weather impact to the quarter? I mean, you know some of the other airlines have certainly indicated that.
Jerry Grinstein: Oh certainly. Certainly if we look at our [IRAC] cost, our bag handling cost, overtime, credit time, we certainly had an impact there. But at the same time, we need to make that up, right? We are not going to give any excuses. Well it had an impact, it's our job running the business to make up for it and commit and hit our numbers. So while that certainly had an impact, we worked hard to offset that and I think we have done a good job of offsetting that.
Susan Donofrio - Cathay Financial: Any quantification?
Jerry Grinstein: I think we pretty well offset it. There's a little bit here and there but nothing particularly material we weren't able to offset.
Susan Donofrio - Cathay Financial: Okay and then if I can just sneak in the last question. When I look at '08, are there any preliminary capacity numbers that you want to share?
Glen Hauenstein: Susan, we are not giving '08 capacity guidance at this point. I think the plan that we have got out there, the [POR], it calls for about a three point, you know, capacity growth in '08.
Susan Donofrio - Cathay Financial: Right.
Glen Hauenstein: At this point, we've not updated that from there.
Susan Donofrio - Cathay Financial: Okay, just checking. Thank you.
Glen Hauenstein: There's no reason to think it's going to differ materially from that at this point.
Susan Donofrio - Cathay Financial: Okay great and then terrific quarter. Thank you.
Glen Hauenstein: Thank you.
Jerry Grinstein: Thank you.
Operator: Thank you and sir your last question today comes from Bill Mastoris.
Bill Mastoris - Credit Suisse: Thank you. Ed, you had talked about the distribution to some of the unsecured creditors and you had mentioned 20%. You kind of faded out a little bit there. Did you mean 20% of the remaining expected distribution? What were you specifically referring to?
Ed Bastian: Yes Bill, 20% of the remaining expected distribution. So we have currently one-third withheld, 20% of that one-third is what we're expecting to release on or about the end of this month.
Bill Mastoris - Credit Suisse: Okay and the balance would be over how many installments? And what type of timing would we be looking at there?
Ed Bastian: Well the plan calls for the first interim distribution six months subsequent to going live. So this is going to be an added distribution above and beyond the plan. So I would expect the next distribution then would come out around the end of October or in settlement negotiations with many of the less source on, as you know, this almost entirely relates to the TIA and SLV negotiations on the aircraft side. I would hope after this interim distribution this would spur others on to getting deals done, but as you know we are also in the course of litigating at the same time.
Bill Mastoris - Credit Suisse: Okay. And you had indicated that at least as far as Delta is concerned, and this is excluding Comair, that 14.2 was kind of your upper end, do you want to refine that number any further?
Ed Bastian: I think the last guidance I gave Bill was back in June. I think we reduced that by $250 million there. So I think a $13.9 billion range for the Delta pool.
Bill Mastoris - Credit Suisse: Okay. Thank you.
Ed Bastian: Sure.
Operator: Thank you, sir. Thank you again, ladies and gentleman. This brings your conference call to a close. Please feel free to disconnect your lines now at any time.